Operator: Good afternoon. My name is Krista, and I'll be your conference operator today. At this time, I would like to welcome everyone to the CSX Corporation Fourth Quarter Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you.  I will now turn the conference over to your host, Matt Korn, Head of Investor Relations. Matt, you may begin.
Matt Korn : Thank you, Krista. Hello, everyone. Good afternoon and welcome to our fourth quarter earnings call. Joining me this afternoon are Joe Hinrichs, President and Chief Executive Officer; Mike Cory, Executive Vice President and Chief Operating Officer; Kevin Boone, Executive Vice President and Chief Commercial Officer and Sean Pelkey, Executive Vice President and Chief Financial Officer.  Now in the presentation accompanying this call, you will find our forward-looking disclosure on Slide 2, followed by our non-GAAP disclosures on Slide 3.  And with that, it is now my pleasure to introduce Mr. Joe Hinrichs. 
Joe Hinrichs : Alright, thank you, Matthew, and hello everyone. Thank you for joining our conference call today. As you will hear from our leadership team today, we are very happy with the momentum we carried in the start of the New Year. Of course, Mother Nature gave us a few challenges over the last couple of weeks, but we are proud of the work our ONE CSX team has done to set us up for success this year.  Our railroad is performing well and Mike Cory and the operations team are already bringing new ideas that are helping us run even better, safer and more efficiently. Our customers are happy with the consistent service that our dedicated employees are delivering and Kevin Boone will discuss how this is translating into profitable business opportunities. Sean Pelkey will go over our financial position, which remains very strong as we continue to deliver healthy volumes, favorable pricing, strong operating margins, and high levels of free cash flow.  Before we talk about the details of the past quarter and our expectations for 2024, it is important to take a step back to appreciate all that our ONE CSX team accomplished in 2023. Everyone on this call knows it's been a very active period for our entire industry. Recall that it was just over a year ago that Congress took action to prevent a major rail strike. Soon afterwards, highly visible events last winter led to important public debates about railroad safety. And through the year, Class I railroads have completed major mergers and made significant leadership changes. Meanwhile, our customers have had to manage through higher interest rates and inflation on the one hand, and wars and supply chain disruptions on the other.  Through all of this, the aim of our ONE CSX team has been to keep moving forward on our key goal of delivering sustainable, profitable growth that benefits to all our key stakeholders, our customers, our employees, our shareholders and the communities we live in and serve. For example, CSX was the first Class I railroad to reach basically agreements with our union partners, and we were the first railroad to significantly change our attendance policies based on employee feedback. We were also the first U.S. Class I railroad to be released and additional service metric reporting by the STB back in May, based on our improvements and service to our customers.  Now here on slide five, we have listed several key achievements from this past year, and helped us take important steps forward. First and foremost, our focus on safety has driven strong results over the year, especially in the fourth quarter, enabling us to report much improved accident and injury rates compared to 2020. Our service metrics that have consistently led the industry. And today CSX remains ahead of our peers. Importantly, this is improving our customers’ experience, which puts us in a great position to gain their trust and gain share.  You've heard me reiterate this all year long, our team delivered positive volume growth in merchandise that beat U.S. industrial production, improved efficiency helped us grow coal volumes, and our intermodal business gained traction led by our service and market initiatives. Our commercial and operating teams are more closely aligned than ever. Our customers know that when we offer them a solution, we have the commitment and the expertise to deliver it.  Finally, we have seen our efforts to renew the culture here the railroad start to really take shape. Through our site visits family days, and our regular surveys and town halls, we see the increased pride and energy that our employees are feeling through ONE CSX. And this is great progress. And we are proud of what we've accomplished this past year. None of these efforts are done or complete as this is a journey. There's so much more that we can accomplish as we work together as ONE CSX team.  On Slide 6, we highlight some of the key results from our fourth quarter. Total volume grew by 1%, reaching 1.56 million units in the quarter. Much of this growth was driven by our strong merchandise franchise, which gained 3% year-over-year. Our total revenue decreased by roughly 1%, 3.68 billion as the effects of higher volumes and favorable pricing were offset by a decrease in other revenue and lower fuel surcharge due to lower diesel prices, as compared to last year. We earned $0.45 per share, compared to 49% -- $0.49 per share a year ago.  With that. I'll now turn the call over to Mike Cory to go over the details of our operations.
Mike Cory : Yeah, thank you, Joe. And good afternoon, everyone. Let's go to Slide 8 and let's just go to the Q4 recap. As I've said many times before, safety is foundational to every success we have. We saw a reduction in engineering and mechanical related accidents and a reduction in transportation injuries during the quarter. And I really want to thank every CSX employee for their continued efforts on creating a safe working environment for themselves and each other and that is extremely important.  But we know we still have worked to do well. Though the full year numbers showed overall improvement, we were flat on transportation related accidents, and saw an increase in engineering related accidents. These are all areas of opportunities we aim to improve in 2024 and beyond. Safety at its core isn't solely about incidents, it's about how employees feel working within the organization. We have an environment where employees feel included, respected, valued and listened to, we can continue to identify areas of improvement as a team and change them.  In 2023 we listened to our employees and we made positive changes to the work environment in response, converting these conversations in sound successful practices. Our results are beginning to demonstrate that this is already making a difference but we have a ways to go. We'll continue to keep this dialogue open and learn from each other.  When done right, the entire ones CSX team will meet its great potential when it comes to operating safely and efficiently and service to our customers. Over the next slide, and on this slide is pretty self-explanatory to me. It shows we've stabilized our network and we've performed pretty well over the quarter. While one of our key focus areas is on maintaining and bettering our customer facing metrics.  Our fluidity has started to allow us to look deeper at our operating plan, again to better align the hard assets needed to move the volume. The team's been focused on maximizing car connections and maximizing the train load, while at the same time reducing locomotive dwell and active horsepower on trains. As a result, we've seen both the reduction in active locomotive use and daily train start.  Tighten connections standards in our yards are starting to drive changes to our operating plan that result in quicker connections. Driving a strong focus on using our locomotive technology to reduce fuel usage on line of road has contributed to a savings overall fuel cost. Altogether, we're finding tangible opportunities to open up more capacity on this network. I expect these metrics to continue to improve as we go forward.  Moving over to Slide 10. And I really believe we've made good headway in Q4 and especially over 2023. Our key metrics continue to improve in our network fluid. Our headcount is at the point that we're now able to manage through efficiency and attrition. We’re paying close attention to resource requirements for any new business coming online when needed. Our focus on car connections and train tonnage closely matched horsepower along with network fluidity allowed us to reduce 2.5% of our daily starts in the quarter and start to store active locomotives.  Among other things, this coming quarter, we'll be performing full territory reviews with our team that will further improve our customer service and continue to identify opportunities to better align asset use. And of course, we'll be working right along with Kevin and his sales and marketing team to deliver this great service and grow with our customers.  During closing, during my four months on the property, I continue to learn more about this network and especially the women and men that make up this tremendous ONE CSX team. I'm extremely excited about our potential to deliver our customers better service with greater safety, efficiency and teamwork.  I'm excited to do this together as one group of great railroaders. So thanks for the time. Over to you, Kevin.
Kevin Boone : Thank you, Mike. It really has been great to see how well our teams have been working together and the positive momentum we are building with our customers, as they recognize CSX’s focused on service. The teamwork is allowing us to build on new opportunities and drive attractive and profitable growth across all of our end markets. Business conditions in 2023 were challenging for many of our customers, with some of our key markets experiencing volatility driven by a number of factors, including inventory destocking.  On the positive side, we saw many of these markets show improvement in the fourth quarter, which combined with our industry-leading service provides optimism that the team can deliver strong revenue growth.  Turning to Slide 12, look at our merchandise performance. As you can see, our revenues were up 5% on both a quarterly and annual basis. Even with the effects of reduced fuel surcharge. Volume increased by a solid 3% for the quarter, and 2% for the full year -- excuse me, outpacing domestic industrial production that's been effectively flat. And we've delivered pricing results that reflect the higher inflationary backdrop that we've all experienced.  Looking at the details of the quarter, automotive performed well, even with a temporary disruption caused by the UAW strike, as total volumes held up and we continue to see leverage, and we continue to leverage service to gain new business. Chemicals was challenged over most of the year, but delivered positive growth in the fourth quarter driven by shipments in plastics, sand and waste. For fertilizers, strong domestic demand and higher CSX shipments of potash exports supported volumes. Short haul phosphate shipments remains constrained by supply issues, which weighs on volumes but provides a tailwind for yields.  Metals has continued to be an area where our service provided growth opportunities. And in minerals, infrastructure related demand continue to be very healthy over the quarter, with new cement production supporting volumes. For forest products volumes was modestly lower year over year, but increased sequentially, as cardboard demand has started to show signs of recovery. While the ramp up in ag and food over the fourth quarter was challenged, with southeastern feed buyers remaining well supplied from local crops, combined with slower ramp up in exports.  Now, as we head into 2024 we are encouraged with the momentum we built across the business and we see many opportunities across the end markets we serve. Our Service continues to differentiate CSX in the marketplace, and we are excited about the opportunities this offers us to work with customers to collectively grow our businesses together.  Turning to Slide 13. Coal revenue decreased 1% for the fourth quarter as we lapped very strong export pricing from a year ago. Volumes remained positive, growing by 3% for the quarter, and 8% for the year. Our coal business continues to be strong, with service levels accelerating in the fourth quarter, and global export prices supporting U.S. production. At the end of the last quarter, we indicated that export demand remained strong that lower natural gas prices and reduced restocking demand would likely weigh on domestic shipments. And that's exactly what happened in the fourth quarter, with export tonnage up a full 27% while domestic tonnage declined by 13%. Coal RPU of just over 3,200 per ton was up 5% sequentially in line with our expectations.  For the New Year, we are optimistic, supported by continued strength and export demand, as global benchmarks for both met and thermal we currently remain at half healthy levels. We also see incremental production growth on our network in West Virginia, which will primarily be focused on the export market.  Domestic demand in 2023 was supported by months of aggressive restocking at utilities and a very hot summer. With stockpiles at more normal levels demand upside will largely be dependent on weather conditions in 2024. That said, total electricity demand growth remains substantial, especially in the Southeast, driven by new industrial capacity to data centers, achieving EV charging stations.  Turning to Slide 14. Fourth quarter intermodal revenue decreased 4% on flat volumes. For the full year, revenue decreased 11% on volumes that were down 7%. Lower fuel surcharge drove the largest impact to yields. Our domestic intermodal business continued to perform well, with volume increasing sequentially and growing in the mid-single digits on a year-over-year basis. We saw growth with our key partners that continue to experience industry-leading service performance, which was recently highlighted in JOCs customer satisfaction results.  Our ability to deliver domestic growth was an extraordinary team effort, especially given the significant challenges facing the trucking market. In International, volumes were lower compared to last year, but we were encouraged to see improvement each month with December actually showing modest year-over-year growth as the positive effects of more normalized retailer inventories gain traction. Our team has continued to work hard to maximize our opportunities, which showed up in the growth as we work to build new partnerships, create new service offerings and leverage higher activity at the inland ports that we serve.  Positive market trends are taking shape as we head into 2024, and we expect the combination of a more supportive market, new conversion opportunities and service offerings to drive year-over-year growth in both the domestic and the international business. We continue to monitor the evolving situations at both the Panama Canal and the Red Sea. To date, we have not been significantly affected by any changes in our customer behavior but we stand at the ready with the capacity and capabilities to adapt as needed. Finally, as we turn the page to 2024, I'm excited about the opportunities ahead. The team is accelerating our efforts in many areas of our business to work hand-in-hand with our customers to identify areas for growth. From industrial development to identifying market-specific operating metrics that enhance the customer experience. Team has been working closely with our rail partners to unlock growth. These are just a few of the focus areas for the team.  Now I'll hand it over to Sean to review the financial review.
Sean Pelkey : Thanks, Kevin, and good afternoon. Fourth quarter revenue fell by 1%, while operating income was down 10% or $139 million. Now these results include $180 million of discrete year-over-year impacts from declines in other revenue, real estate gains and export coal benchmark prices. However, the underlying results also reflect the benefit of our sustained service levels throughout 2023 and growing momentum in the business. Across merchandise, coal and intermodal, revenue excluding fuel increased by 5%, benefiting from strong core pricing across the merchandise portfolio and 3% volume growth in both merchandise and coal. Counter to normal seasonal trends, the team delivered sequential volume gains, helping operating income increased by $25 million relative to the third quarter. Interest and other expense was $16 million higher compared to the prior year. Income tax expense decreased $23 million, the effective tax rate of 22.9% included $19 million of favorable adjustments primarily for state tax matters relative to $33 million of favorable adjustments in the prior year. Our expected tax rate going forward remains 24.5%. Earnings per share fell by $0.04, including $0.07 of impact from the previously mentioned discrete items. For the full year, operating income fell by 8% or $462 million, while earnings per share was 5% lower. These results were impacted by the prior year Virginia real estate transaction declining intermodal storage revenue and lower export coal benchmarks totaling nearly $700 million on a combined basis.  The hard work of our ONE CSX team provided our customers reliable and consistent service throughout 2023, and laid a strong foundation for long-term profitable growth. With profitable growth in mind, we will also be making a change in how we report results going forward. Starting in the first quarter of 2024 and we will transition to a more conventional approach of reporting operating margins rather than operating ratio. Our goal is to target margin improvement, aligning the business around a balanced approach that includes profitable volume gains and pricing to the value of our service, all while controlling costs and optimizing asset utilization.  Let's now turn to the next slide and take a closer look at fourth quarter expenses. Total fourth quarter expense increased by $89 million as the impacts of lower real estate gains, inflation, increased depreciation and higher head count were partly offset by lower fuel prices and efficiency savings in PS&O and rents.  Turning to the individual line items. Labor and Fringe was up $82 million, impacted by inflation and additional headcount. The quarter also included costs that related to the timing of union employee vacation and sick benefits. We expect this to adjust down resulting in a lower sequential cost per employee in the first quarter.  Purchased services and other expense increased $4 million versus last year, as inflation was mostly offset by savings from our intermodal and engineering teams. We expect a modest sequential increase in the first quarter, similar to what we have seen in recent years. As a reminder, we'll cycle a prior year insurance recovery of nearly $50 million in the first quarter. And while we expect increased technology carry costs and a need for more locomotive overhauls to impact expense in 2024, we are actively implementing cost savings and efficiency initiatives that will help offset these headwinds.  Depreciation was up $24 million, including an $11 million adjustment related to prior periods. We are projecting roughly $40 million to $50 million higher full year depreciation expense in 2024. Fuel cost was down $59 million driven by a lower gallon price. While fuel efficiency was stable year-over-year, we saw strong sequential improvement. These results are especially encouraging as we typically face seasonal efficiency headwinds in the fourth quarter. Mike and the team expect to continue the momentum in this critical measure into 2024 and drive meaningful year-over-year savings.  Equipment and rents was $9 million favorable, driven by faster car cycle times across all markets. Finally, property gains were $47 million unfavorable in the quarter. At this time, we do not expect any individually significant transactions during 2024.  Now turning to cash flow and distributions on Slide 18. Full year free cash flow remains strong at $3.3 billion. Our first priority use of cash remains investing for the safety, reliability and growth of our business. As such, this figure includes $2.3 billion of capital spend across a wide range of projects to ensure the integrity of our network infrastructure as well as the high return strategic investment opportunities.  Looking to 2024, note that free cash flow will be impacted by about $380 million of Federal Cash Tax Payments that were deferred from 2023. Cash flow generation also supported close to $4.4 billion in shareholder returns for the year, including $3.5 billion in share repurchases and nearly $900 million of dividends. While economic profit finished lower for the year, largely due to lower intermodal storage revenue and export coal pricing, our goal is to increase economic profit over time which has been shown to strongly correlate with outsized shareholder returns.  With that, let me turn it back to Joe for his closing remarks.
Joe Hinrichs : All right. Thank you, Sean. Now we will conclude with our initial thoughts on our expectations for the full year 2024. As of today, and based on our visibility with our customers and our expectations for the CSX specific initiatives that we are putting in place, we anticipate growth in total volume and total revenue in the low to mid-single digit range. We see encouraging momentum across our merchandise business, but we are benefiting from service-led gains in market share and wallet share and new industrial development activity. We expect growth in our intermodal business as a prolonged destocking cycle finally winds down and our strategic initiatives continue to drive volume, and Export coal demand continues to be very strong with CSX gaining from the ramp-up of a new mine on our network. By growing volumes and utilizing our existing capacity, we expect our profitability to benefit from a favorable combination of solid pricing better operational efficiency and a moderate easing in cost inflation. Kevin's team continues to do a great job making sure that we are getting paid for the service we provide. And as Mike discussed, we see all kinds of new opportunities run this network better, safer, faster and more efficiently.  We expect an increase in our capital spending to approximately $2.5 billion this year as we invest in safety infrastructure, locomotive rebuilds, upgrades to our portion of the New Alabama Interchange with CBKC and other specific high-return investments, including technology investments. Finally, as before, there is no change to our balanced opportunistic approach to capital returns, using our excess cash to fund share repurchases and dividends to benefit our shareholders.  In closing, I am very proud of what our entire team accomplished this past year. To our ONE CSX team, I want to thank all of you across all of our facilities in every state and province that we're operating in, through your hard work and for demonstrating that our ONE CSX culture can be something real and impactful. We're in a great position we had in 2024 and with your help, we can make it even better year than the strong one we just had.  For everyone on this call, thank you for all your interest in and support of CSX. Matthew, we're now ready to take questions.
Matt Korn : Thank you, Joe. We will now move to our question-and-answer session. In the interest of time and to make sure that everyone on this call has an opportunity to take part, we ask you to please limit yourselves to one and only one question. Krista, we're ready to start the process.
Operator: Thank you. [Operator Instructions] Your first question comes from the line of John Chappell from Evercore ISI. Please go ahead. Your line is open.
John Chappell: Thank you and good afternoon. Sean, I wanted to dig a little deeper on this part of the guide and maybe some of the delayed productivity improvements that you spoke about. If the volume commentary is low to mid-single digit, you have some of the productivity levers that you were hoping to pull even though you have some of these, I guess, other fixed cost increases in the form of D&A, et cetera. How do you think about margin expansion in 2024 based on your base case of volume and revenue?
Sean Pelkey : Thanks, Jonathan. That's a bit of a loaded question, a lot in there. Well, I'll do my best. I think when I step back our target is to always expand margins, and we can do that by growing the business profitably, operating safely and running an efficient railroad.  When I think about 2024 and sort of how that year progresses, we built some momentum coming from Q3 into Q4. We grew volumes. We grew operating income. That's not always the case. Our hope is to continue that momentum going into the first quarter, whether or not withstanding here. And then build that momentum into the second quarter as well. We've got some headwinds year-over-year that we can talk about in the first quarter. They began to ease in the second quarter. And then by the time we get to the second half of the year, the comps are a little bit easier, and that's where I think you'll really see some very strong incremental margins.
John Chappell: Thanks, Sean. 
Operator: Your next question comes from the line of Bascome Majors from Susquehanna. Please go ahead. Your line is open. 
Bascome Majors : Joe, you opened the call talking about a lot of the progress you had made in your first year leading the business. Can you talk about how your focus or at least investors will see your focus involved over the next 12 to 18 months following the success you've had improving a lot of stakeholder relationships in your first 16?
Joe Hinrichs : Yeah. Thanks, Bas. And I think you heard a little bit of that in, on the commentary from the team here. We now see our business has stabilized. We've reached a threshold on customer service that has been recognized in the industry, and now you're seeing the opportunity for us to take advantage of that stability to get more efficient.  We're now at the manpower levels that we were targeting. There's always going to be some needs here or there. But generally speaking, we're the manpower levels we were targeting. So we head into 2024 with an opportunity to be in a much more stable setting the momentum we're building on culture and how people are working together. Mike coming in and his perspective and working closely with Kevin and his team, I feel really good about the opportunity going forward now is for us to leverage the strength we have in our operating model and the people we have to get more efficient.  Obviously, we want to see more safety improvement this year as we saw in the fourth quarter of last year and building momentum there, and then take advantage of the opportunity to grow with our customers. We now have over a year of providing stable, persistent, reliable service that our customers are recognizing us for. And we have the opportunity now to talk to each one of them about, okay, what can we do together to grow and how can we work together? The journey on efficiency, safety, culture never ends, and we're going to keep working together. But I will tell you, we come into 2024, our network was in good shape, very good shape. Our manpower levels are in good shape. The team is working better together than I’ve seen it in the time I’ve been here. And so that gives us confidence that we can build on the momentum we’ve established over the last year.
Operator: Your next question comes from the line of Brian Oseenbeck from JPMorgan. Please go ahead. Your line is open.
Brian Ossenbeck : Hey, good afternoon. Thanks for taking the question. Maybe just a quick follow-up for Sean first. Can you just give us the commentary about the comp per employee stepping down into the first quarter after the increase in 4Q? And then maybe for Mike, can you just give us a sense in terms of what you're seeing? I know it's still little bit early, but a little bit further down the path over the last call, it sounds like fuel efficiency is an area for some big improvement that you're targeting. Maybe some more network in taking out some of the locomotives as the fluidity continues to improve. So what are you seeing there and maybe some rough order of magnitude would be helpful? Thank you.
Sean Pelkey : Sure, Brian. I'll begin on the copper employees. So we did have some true-ups in terms of vacation and sick leave that I mentioned in the quarter. That was probably about $15 million. We also had work that moved from capital into OE. We typically have that in the fourth quarter. So those will both be tailwinds going into the first quarter on comp per employee. So I would expect if you're modeling that a couple of percentage point improvement versus what we reported in Q4. Should be pretty steady in the first half. And then again, we have that 4% wage increase scheduled in July, so probably step up a little bit in the second half of the year. Notwithstanding the efficiency initiatives that Mike and the team are focused on.
Operator: Your next question --
Mike Cory : Sorry. I was just going to finish up. Look, overall asset use, whether it's locomotives, trains we run, how productive all of us are, they're front and center for what we look at. And so for me, it's really, I'd say out of a scale out 1 to 10, I'm about a 4 in terms of where I am in understanding our network and understanding our people. However, we're really starting to focus in on the things that aren't working right. They aren't working against what we think we can do with the franchise, with the network we have. So whether it's size of trains, the state of the train, the use of the technology we have to get the most out of the locomotive. It's just, right now, it's blocking and tackling, and it's everybody coming together. So we're learning, we're teaching we're sharing best practices. We're doing the things that, in that fourth quarter was really the last couple of months that we really started to see the things we could do because, first of all, we had the head count. We had the reliability and the fluidity of the network.  And so we’re just going to keep grinding that stone. But as I said in my remarks, we’re going to really get deep into the operating plans over every corridor over the next few quarters. And I’ll leave that charge, but I tell you what, I’ve got a lot of people that are that are out there ready to go and they’re very qualified to do this. So I see, to Sean’s point, we got further efficiency ahead of us, but never at the expense of safety and never at the expense of customer service. So our hope is that we continue to provide this great product and the customers are going to come. And that’s how we’ll also get the efficiency that we need.
Operator: Your next question comes from the line of Justin Long from Stephens. Please go ahead. Your line is open.
Justin Long : Thanks, good afternoon. So with the 2024 guidance being the same for volumes and revenue, low to mid-single digit growth. Is it right to think that your assumption for revenue per unit all-in is flattish? And either way, I was wondering if you could provide some more color on your expectations for coal RPU maybe for the first quarter and then the full year as well? Thanks. 
Kevin Boone : Hey, Justin, this is Kevin. I think you hit on it right there on the coal RPU. Obviously, very healthy market right now, how much you embed that going forward? We're optimistic, but we know this market can move around quite a bit. And so maybe a little bit of conservative outlook as we move through the year. Hopefully, there's some upside to that, but that's largely impacting it, as you mentioned, from an RPU perspective.  The other thing that I would highlight is we do expect the intermodal market to bounce back here, and that's a lower RPU business as well, but that will be contributory to our growth this year from a volume and revenue perspective. So lower ARPU overall. So that will mix it down a bit. But those are the two large factors that you just highlighted and you know about.
Operator: Your next question comes from the line of Scott Group from Wolfe Research. Please go ahead. Your line is open.
Scott Group : Hey, thanks, afternoon. So I want to just dig into the cost side a little bit. So if I just look, I understand some noise with vacations and paid sick but cost ex fuel up about 3% to 4% from Q3 with volume up less than 1%. So it's just, we've seen a lot of cost creep that continued in Q4. I guess, ultimately, I'm trying to figure out where do we go from here? Can we start to see overall cost levels stabilize? Do they still increase, but increase just at a slower pace? Is there any chance they could start to come down a little bit? I don't know. I'm just struggling with how to think about the cost side. So any help there?
Sean Pelkey : Yeah. Thanks, Scott. I can take a stab at it here. So I think fourth quarter, let's remember, we've got the dynamic of some work moving off of capital and going to OE. That's normal. We'll typically see a little bit of a step-up that reverses back in Q1.  We probably had, call it, $30 million, $35 million of costs in the quarter that were somewhat unusual items that we mentioned but just as a reminder, we had a true-up on vacation and sick leave, that was about $15 million, as I just mentioned. We had another $10 million on depreciation true-up at the end of the year there for that, that's not going to recur. And then the Livingston, Kentucky derailment was about $10 million as well. So you kind of add all that together, those costs roll off as we go into the first quarter.  And then we built some momentum. I mean, as Mike said, he’s already looked at the train plan. He’s reduced some starts driving tonnage up. That’s going to drive fuel efficiency as well, taking some locomotives out. We’re not paying maintenance on those locomotives. So we’re certainly building some momentum. I think that’s going to gradually add in as we go through the year. And that’s why I feel really good about where the incrementals are going to be second half of the year.
Operator: Your next question comes from the line of Tom Wadewitz from UBS. Please go ahead. Your line is open.
Tom Wadewitz : Yeah, good afternoon. Wanted to ask, I think it's probably for Kevin, just a little bit on the revenue side. You've had a pretty meaningful storage revenue headwind in 2023. And I think you feel surcharge can be an impact too. How do you think about those two factors as you go in '24? Are they kind of neutral? Or is there still some lingering headwind?  And then in terms of price, what kind of a price assumption do you have? Are you thinking stable pricing versus what we got in '23? Or is it kind of up or down? Thank you.
Sean Pelkey : Yeah. So just on the first part of the question, Tom, I'll answer that. On the other revenue piece, we're, I would go ahead and model something like $130 million a quarter, which is kind of what we've been running at the second half of this year. Obviously, you do the math on that, it will be a big headwind in Q1 about, call it, $50 million plus. That's why the comps are tougher in Q1 and then a little less in Q2 before we get to the normalized rate.  And then on fuel, don't forget, we had a pretty favorable lag impact in the first half of last year to the tune of almost $70 million across the first and second quarter. So prices have come down a little bit. We are expecting somewhat favorable lag in Q1 of this year, but it's still be a year-over-year headwind. So those are two reasons why we're thinking about more sequential momentum in the first quarter as opposed to being able to deliver growth until we get to the second half of the year.
Kevin Boone : Yeah. And then on pricing, I think, as we talked about all last year, we had to react to a much higher inflation environment that we all experienced, quite frankly. And, you'll see a lot of that carryover, right? These contracts are negotiated some on a multiyear period, some year-over-year. We know how to negotiate every year. So it's fair to say our expectation coming into '24 is cost inflation for our business will be a little bit lower. So I would expect that number to come down when we have our conversations but still very healthy when you look at historical rates, what we were able to achieve. And obviously, that's an important part of our revenue growth story is both volume balanced approach between volume and price.
Operator: Your next question comes from the line of Brandon Oglenski from Barclays. Please go ahead. Your line is open.
Brandon Oglenski : Hey, good evening, everyone. Thanks for taking my question. Mike, I wonder if you could speak more specifically to labor efficiency this year, especially in reference to Kevin's remarks that you're going to have new merchandise business bringing on about a point of volume additionally. So how are you planning for headcount? And what are the opportunities for efficiency there? Thank you.
Mike Cory : Hey, Brandon, I hope you're well. Look, I'm not going to say at this stage that we can add incremental volume without headcount. It depends on what it is and where it's at. But I'm very comfortable with the results we had in a run rate of more train size. And that obviously reduces the impact on the headcount. We've got areas that we just haven't got to in my time yet. And I think the -- and this isn't just about trade and size, but we really, we have a very customer-intensive network. And so we have a lot of yards and locals and first of all, we're looking to button down and make the service reliable.  And with the head count we have right now, we see that we're able to do it. So that leads us to know that we can do better. And so I see the opportunities really in the touches of the cars that we do today. So I see further incremental improvement. I see the ability with the capacity we're creating with the locomotives that we've got added to the storage count to the capacity we created online by having less movements. I see us being able to handle incremental volume with what we have in many cases. But again, there are those key areas we want to make sure that we have the right head count for.
Operator: Your next question comes from the line of Ken Hoexter from Bank of America. Please go ahead. Your line is open.
Ken Hoexter : Great, good afternoon. So just, I guess, thinking about the performance there, either Mike or Joe, it looked like your on-time origination is down at 71% on-time arrivals at 69%. What is still missing from the operations to get that efficiency improving? Have you changed the categories at all to see those sliding since the beginning of the year? Maybe just what are your thoughts on how that gets increased efficiency to get those additional operating leverage savings?
Mike Cory : Yeah, thanks, Ken. It just goes back to what I'm talking about in our yards and our terminal performance, and that's where our focus will be. Again, I've been getting the folks to really focus on connecting cars, increasing train size. So we're going through some growth periods in that sense. Yeah, it's affecting the on-time performance. But at the end of the day, we're counting on making sure we fulfill the trip plan of the customer, and in some cases, it's going to change the way we design our network and the time the trains go.  So I'm not concerned about that at this stage. It certainly isn't anything to do with congestion or poor performance. These are the growing, the growth what I call, growth observations of a network that's starting to change and really look to more maximize the assets that we have out there to create capacity. So it’s not a cause of concern at this moment. Trust me, we look at it in a lot, measured at the minute. So this isn’t, it’s not like we’ve got trains that are late, late, late. These are fractions of hours. And so that’s fine. We know we have to operate on time. But at the end of the day, it’s the delivery to the customer. It’s their first mile, last miles, their pain points that we’re focused on. And at the same time, we’re driving efficiency through running a more condensed network.
Operator: Your next question comes from the line of Chris Wetherbee from Citi. Please go ahead. Your line is open.
Chris Wetherbee : Hey, thanks. Good afternoon, guys. Maybe I just wanted to follow up on the Resources question. I guess, as you think about the portfolio of the business opportunities ahead of you that informs the volume growth outlook. Can that be done? Or what are the resources required, I guess, as you think about the plans? When we think about headcount, maybe specifically, but maybe also locomotives, what is the growth associated with that that you guys have in the plan for 2024?
Sean Pelkey : Yeah. I mean, Chris, one thing to just think about is we added head count through the year in 2023, right? So if we just held everything flat to where we ended the year last year, would be up 2% year-over-year with a little bit more of that year-over-year growth in the first half than in the second half.  I think our view right now is that, by and large, with a couple of exceptions, we should be able to hold head count flat and absorb the new growth that's coming on in the network. And so we'll be able to do that. First quarter, it won't look like tremendous employee efficiency just because we added through the year last year, we get into the second half of the year. I think that's where you're going to see the labor productivity show up.
Mike Cory : Yeah. And just on top of that, too, Chris. Staying with locomotives, where we still have opportunity to use the locomotives we have out there working, use them harder. And so that’s a big focus for us, whether it’s dwell, whether it’s connection, whether it’s what they’re pulling, I believe we have the capacity to grow just of what we have out there right now.
Operator: Your next question comes from the line of Amit Mahrotra from Deutsche Bank. Please go ahead. Your line is open.
Amit Mehrotra : Thanks, Operator. Hi, everybody. So, Sean, can you just help us, I guess, calibrate 1Q expectations in terms of operating ratio. You talked about $30 million to $35 million of kind of one-timers in the fourth quarter. I think that's like a point of OR. Volume is down, I guess, a little over 6%. So that's obviously a headwind weather is tough. So just talk about that.  And then on the cost side, PS&O costs, there's a lot of focus on labor. Again, it's your biggest cost bucket, but PS&O is a pretty large bucket. And if I look over the last three to four years, the rate of inflation in PS&O costs are like more than double revenue growth. What's going on there? What's the opportunity to kind of hold the line or bring that down? Because if I remember correctly, back in '17- '18 was really a great place to look for efficiency and opportunity. I just want to know if there's an opportunity there in '24 as well.
Sean Pelkey : Amit, on your Q1 margin question, I think I'll just sort of stick to what I said before in terms of building momentum from Q4 to Q1. That's our goal. It's to deliver if we can, operating income growth sequentially from Q4 to Q1. The margins will be what they are based on what, where fuel prices settle. But can we grow margins as well in Q1. Sure. I think that's within the realm of possibility.  Again, whether or notwithstanding, we had a rough couple of weeks we're coming out of that, things are certainly looking better across the network as we speak. So you'll see the weekly volumes and see how that catches up from there.  In terms of your comment on PS&O, I think it's a good reminder for everybody to go back and understand we added quality carriers a couple of years ago, a significant portion of the expenses within quality shows up in the PS&O line. And that is quite volume variable. And so, as we see increases or decreases in the trucking revenue line, that's going to impact PS&O expense as well.  We also added PanAm. There are PS&Operator expenses associated with the revenue that we added across that part of the network as well. And then PS&Operator can also be somewhat volume driven, particularly on the intermodal side, the terminal related expenses show up there on that line. So what I said was going from Operator4 to Operator1 on PS&Operator like we normally do, we would expect a little bit of a sequential increase in those costs and have no doubt, we are certainly focused on that line item amongst others as an area of opportunity to continue to drive cost savings.
Operator: Your next question comes from the line of Allison Poliniak from Wells Fargo. Please go ahead. Your line is open.
Allison Poliniak: Hi, good evening. I just want to go back to the commentary on domestic intermodal specifically around truck conversion. It does seem like we're still really early stages. I would love to get your perspective on what can drive that acceleration in some of those conversions? Is it your reliability improving further? Is it better truck capacity? Just anything, any comments there on what could drive that acceleration of the space at this point?
Kevin Boone : Yeah. I would think, I've heard many characterize last year as maybe the worst trucking market they've seen in the last 40 years. So I think there's a lot of hope that we're at the bottom or have reached the bottom. I will say, and we've been recognized and I highlighted this in the opening comments, the customers are seeing the service levels that we're delivering. And I know Mike has plans to even improve some of our true terminal fluidity even further.  We're looking at ways where we're going to measure the customer experience in a different way. Measure their truck on time terminal and all those things that really are important for those customers that drive value for their customers, quite frankly. So a lot of those initiatives are underway, and that gives us a lot of confidence as we move forward through the year that not only hopefully the market has bottomed, but on top of that, that we’re going to be able to gain share with the service product that we’re able to deliver.
Operator: Your next question comes from the line of David Vernon from Bernstein. Please go ahead. Your line is open.
David Vernon : Hey, good afternoon, guys. Thanks for taking the question. So Sean, I think you called out, I think it was like $280 million or $380 million of deferred tax headwinds and $300 million of extra CapEx. I just want to confirm I got that $600 million headwind to cash flow rate for the year?  And then as we think about timing, Sean, you were very clear about incrementals being better in the back half than the front half. Kevin, can you share anything on the rate at which you'd expect this single, low to mid-single digit sort of volume and revenue to show up? Is that also back-end loaded? Or how do we think about the cadence for the year? Thank you.
Sean Pelkey : Yeah, David, I'll start. So on your question there, Yeah. So deferred tax, $380 million, which was essentially a benefit to 2023. We will make that payment in the first half of 2024. And then on the CapEx, basically going from 2.3 to 2.5 million, so that's about a $200 million increase on that side.
Kevin Boone : Yeah. In terms of the cadence from a volume and revenue perspective, I think we've been clear in that first quarter, some coal dynamics, other things from a pricing perspective or probably the high watermark that we'll have to lap, but pretty even cadence through the year after that. You'll probably remember, we started to see some weakness into the second quarter on the industrial side of our business.  And when you think about chemicals and our forest products business, in particular, some very strong, weakness that started to occur that we were, that will begin the lap quite frankly, as we get into the second quarter, late second quarter and third and fourth. So, but when we look across the year, we think we’re able to achieve growth throughout the year.
Operator: [Operator Instructions] Your question comes from the line of Ravi Shanker from Morgan Stanley. Please go ahead. Your line is open.
Ravi Shanker : Guys, just got only one. Maybe just a follow-up on that, kind of just on the operating leverage itself, I mean in theory, shouldn't we be seeing kind of the bulk of the operating leverage kind of show up now as we come off the floor of volumes and kind of you have the maximum fixed cost absorption? And kind of the follow-up question to that is, if the market stays softer for longer in 2024, and truck rates continue to be competitive, do you think the volumes that you guys are converting will be enough to drive that operating leverage? Or do you also need price to come on top of that?
Sean Pelkey : Yeah, Ravi. So on the operating leverage point, I would say that the leverage is there underlying the business, right? We've had some discrete headwinds that I mentioned in the script. And as we go into the first half of this year, Q1, you got fuel lag from last year, you have other revenue coming down. You've got an insurance recovery. Those are things that we're going to have to lap and get behind us and then a little bit of a tail into Q2 as well, which is why in the second half, on a reported basis, you'll see it show up a lot more cleanly. In terms of the macro, I think, yeah, we feel pretty confident about our ability to grow even in the face of a macro that's relatively flat. We have some business wins that are carryover, got some new business that's coming online, and we should be able to absorb most of that with the existing resources, if not tighten up the plan a little bit and save some costs.
Operator: Your next question comes from the line of Walter Spracklin from RBC Capital Markets. Please go ahead. Your line is open.
Walter Spracklin : Thank you very much. Good afternoon, everyone. So I wanted to go back to the coal forecast. I know you mentioned in your remarks here that domestic coal is expected to be modestly impacted. And when we're comparing it to other sources, EIA, you're saying U.S. production is going to be down 16% in 2024, and that's on the back of solar and the retirement of coal-fired capacity. Is this just a different market? Like is the retirement of coal-fired capacity just not in your catchment area? Is it, what would lead to such a disparity between that kind of forecast and the one that you're providing here on the domestic coal front?
Kevin Boone : Yeah, Walter, we all read your notes here. Obviously, we've been intimately looking at that, and we have our own sources. But we do a bottoms-up build up, right? We look at, we talk to our customers. We understand what the demand they're seeing in their business, how they're forecasting, what they're telling their investors and their stakeholders in terms of what they're seeing. And quite frankly, this market right now is still a production -- production is going to either decide our upside or limit our upside. It's not, we don't see a demand -- demand right now where it is impacting our volumes next year. It's really a production-constrained market from everything that we're seeing.  We see some weakness in the domestic market. We think there is an export market that can continue to put some of that volume into that market. So there is optimism. Obviously, I know this market can change quite quickly. The global environment changes quickly. But for what we see right now and what our customers are telling us, and, there will be some weather impact as we get into the year, we'll look at the summer to see if it's hotter than usual or where that shakes out, that will obviously impact our domestic business, but we do think there's an export business that as an outlet for some of the domestic side if we saw some further weakness there.
Operator: We have no further questions in our queue. And with that, this does conclude today's conference call. Thank you for your participation, and you may now disconnect.